Operator: Good morning, everyone. My name is Loraine , and I'll be your conference operator today. I would like to welcome everyone to the FTG Q4 2021 Analyst Call. All lines have been placed on mute. There will be a question-and-answer session following the call.  Please note that this call is being recorded today, February 10, 2022 at 8:30 A.M. Eastern Time. I would now like to turn the call over to Mr. Brad Bourne, President and Chief Executive Officer of Firan Technology Group. Mr. Bourne, you may proceed.
Brad Bourne: Thank you. Good morning. I'm Brad Bourne, President and CEO of Firan Technology Group Corporation or FTG. Also on the call today is Jamie Crichton, our Chief Financial Officer. Before we go any further, I must caution you that this call may contain forward-looking statements. Such statements are based on the current expectations of management of the company and inherently involve numerous risks and uncertainties known and unknown, including economic factors and the company's industry generally. The preceding list is not exhaustive of all possible factors. Such forward-looking statements are not guarantees the future performance and actual events and results could differ materially from those expressed or implied by forward-looking statements made by the company. The listeners caution to consider these and other factors carefully when making decisions with respect to the company and not place undue reliance on forward-looking statements. The company does not undertake and there's no specific intention to update any forward-looking statements written or oral that maybe made from -- maybe made from time-to-time by or on its behalf, whether result of new information, future events or otherwise. Well, 2021 proved to be a lot more challenging than we expected when we started the year. I will explain some of these challenges later. But I do want to say that again this year. I am so very proud of the efforts of everyone at FTG and doing whatever it takes to overcome these challenges. In the face of such difficult year for the aerospace industry and so much adversity, everyone buckled down, work together and did what was needed to be done to get it through the year in good shape. I am sure that this team is up to any challenge we might face in future years. Before I get into details, let me summarize some key accomplishments from 2021. FTG had forced sequential increases in quarterly bookings through the year as the commercial aerospace industry began to recover from the COVID-19 pandemic. Fourth quarter bookings of $23.6 million are up 42% over Q4 2020. FTG increased its net cash on the balance sheet to $17.9 million, an increase of $5.3 million in 2021. Again showing the cash generating nature of the business. Over the past two years, during the pandemic FTG has added $15.7 million in net cash on the balance sheet after $16.8 million investments in R&D and capital equipment. FTG achieved EBITDA of $9.6 million in 2021. FTG remains profitable in fiscal 2021 despite challenging conditions in the commercial aerospace market, currency headwinds, and COVID-19 operational impacts. And maybe most importantly, FTG access government support in Canada, and in the U.S., and even China in 2021 to enable us to maintain our workforce and position FTG to recover quickly as the demand rebounds in the aerospace industry. In addition, during the year FTG extended the existing $20 million U.S. committed credit facility with their primary lender to July 2026 with improved financial terms. In technology FTG installed and commissioned the Averatek’s semi-additive circuit board manufacturing equipment in our Circuits Fredericksburg facility during the year. Activity has been initiated with over 10 customers to develop this process to adjust address future industry demands. This is a longer term R&D initiative, but one we consider strategic. This manufacturing process is definitely more environmentally friendly, and the end product should have improved signal integrity. Also during the year, FTG was awarded a contract value to $3.7 million from the U.S. United States Defense Logistics Agency to provide electronic assemblies to retrofit airborne radar systems and U.S. Armed Forces aircraft. This work will be performed at the FTG facilities in Chatsworth, California. FTG Aerospace Chatsworth, which had maintained an engineering office in Dallas Fort Worth, since the acquisition of PhotoEtch in 2016, close this office fleet in 2021 and move the function to a Stratford site in California, reducing the site facility costs in 2022 and beyond. And then, in Tianjin we received a significant new customer approval from a Tier 1 aerospace companies opening up significant newer revenue opportunities for the future. Jamie will talk about the financials shortly, but I like to highlight what we're seeing in future market demands. To state the obvious the COVID-19 pandemic deal deeply impacted air travel in 2020 and 2021. This in turn has impacted airlines, which then flowed through to hurt the aerospace industry. But we are seeing a positive trend develop. In Q4 U.S. air travel continued to rebound. It is nearing 90% of pre-pandemic levels. And we are seeing the easing of travel and border restrictions. So borrowing any unforeseen setbacks, we anticipate that improving market going forward. There are many predictions regarding the length of the time to recover, but all of them indicator forecast a strong commercial aerospace market in 2022. Even if it is not quite back to pre-pandemic levels. Our customers are mostly showing return to sales growth in their latest quarters. When you looked at aircraft deliveries, Airbus has reported a 35% drop in deliveries in 2021, but then achieved an 8% recovery there -- that 35% drop in deliveries in 2020, but achieved an 8% recovery in 2021. This does still leave them about 29% below 2019 levels, at Boeing it is more dramatic that they also had the challenges of the 737 MAX to deal with. Their 2020 deliveries were down 80% from pre-pandemic pre 737 issues. In 2021, their deliveries are up 116% versus 2020, but this still leaves them down 58% from their high in 2018. Both companies have announced production rate increases for 2022 and with our increase bookings we should see revenue growth at least sequentially going forward. I've also looked at results from defense contractors. And for example Lockheed the largest defense contractor reported a 4% revenue growth for fiscal 2021 and Northrop Grumman reported as 3% growth for the same year. The defense market this government funded and it appears well supported in the near-term. At a higher level, President Biden released his defense budget request for 2022 and it had some growth, so this market should remain strong for a while longer. Looking at the longer-term Boeing's most recent 20 year forecasts for commercial air transport well over than last year does show growth beyond the two to three year downturn as air traffic recovers, and it continue to show 40% of all new aircraft deliveries going to Asia, as has been the case in their recent forecast. The business jet market has already seen traffic recover. The recent business jet market forecasts from Honeywell similarly predicts growth in this market in the coming years. The simulator market mirrors the end-market application so commercial aerospace simulator activity is down whereas defense simulator remains strong. But as we always remind everyone about this market, it is lumpy. So the year-to-year variations are large and do occur. So if we said for many years FTG's goal is to participate in all segments of the aerospace and defense markets as each move through their independent business cycle. This continues to prove effective. In the past number of years dips in activity than helicopter and business jet markets did not impact FTG's growth. Now the commercial aerospace market is in a downturn, but as it represents about 14% of FTG's overall activity we have mitigated the impact. Our circuits Toronto site, as well as their sites in China are most closely tied to commercial aerospace. So they were the most impacted, our U.S. sites are more focused on the defense market. Beyond all, thus let me give you a quick update on 2021 for FTG. First, as already noted, the leading indicator of our business is our bookings for new orders. In each quarter 2021 bookings increased, in Q4 2021 soft bookings up 42% compared to the same quarter in the prior year. In 2021, sales at FTG were $79.4 million versus $102.4 million in the prior year. This is a 22% drop. This was a much tougher year than we expected for a few reasons. First, the COVID-19 pandemic was sustained through all of 2021 as the Delta and Omicron variants arose and spread around the globe. This impacted our total demand by about 8%, which on its own is not too bad. But on top of that our simulator business was down almost $10 million due to its inherent variability, we talked about each quarter. And this was unfortunate timing to have to deal with this decline at the same time as the pandemic was happening. This represented a negative 10% impact on year-over-year sales. And finally, the strengthening of Canadian Dollar versus U.S. Dollar was a $4 million or 4% headwind. In our Aerospace business, sales were down 26% or $9.6 million compared to the prior-year. The decline is virtually 100% due to the decline in our simulator business year-over-year, which was also down $9.6 million. So we're seeing stable demand in our traditional products, which is a surprisingly good result in the middle of a pandemic. On the circuit side of our business, sales were down $13.4 million or 20% on a year-over-year basis. Circuits Toronto was off the most in absolute dollars as their focus is primarily in commercial aerospace. But all three North American sites had decreased sales, our joint venture in China saw a decline in demand from existing customers due to the pandemic. But to offset this with new wins and ended the year up marginally compared to 2020. Overall at FTG, our top five customers accounted for 51.1% of the total revenue in the year. The percentage compares -- this percentage compares to 51.5% last year, while the percentage is similar that companies have changed. Last year's top five included a large simulator company and there are no simulator companies in the top five this year. Also interesting to note of the Top 10 customers, seven are customer share between circuits and aerospace. We like to see the shared customers as it means we are maximizing our penetration of these customers by selling both cockpit products and circuit boards. In 2021, 34% of our total revenues came from our aerospace business compared to 35.7% last year. The drop is due to reduced simulator activity partially offset by stable demand for legacy products. I'd like to turn the call over to Jamie who will summarize our financial results for 2021. And afterwards I will talk about some key priorities we're working on, Jamie?
Jamie Crichton: Thanks, Brad. Good morning, everyone. I'd like to provide some additional detail on our financial performance for 2021 and Q4. On a sales of $79.4 million, FTG achieved a gross margin of $17.1 million or 21.6% in 2021 compared to $26.4 million or 25.8% of sales of $102.4 million in 2020. The decrease in gross margin dollars and the gross margin rate is the result of reduced operating leverage on lower sales volume. In addition, gross margin at the Toronto sites is negatively impacted by the stronger Canadian Dollar relative to the U.S. Dollar as much of the cost structure of those sites is in Canadian currency. In Q4, on sales of $20.3 million, FTG achieved a gross margin of $4.2 million, or 20.9% compared to $7.1 million, or 26.4% on sales of $26.7 million in Q4 2020. Reduced sales volumes of $6.4 million, principally within the simulator product line resulted in lower gross margin of approximately $2 million. Although FTG continued to qualify for wage subsidy programs in Canada and the U.S., the amount realized in Q4 2021 was $0.9 million less than in the prior-quarter, which equates to approximately 4.5% of gross margin points. From a geographical standpoint, 75% of FTG's 2021 sales were derived from customers in the U.S., which has decreased from 77% in the prior-year. A lower percentage of revenue from U.S. based customers is due to lower simulator revenue, which is primarily for U.S. customers. SG&A expense was $11 million or 13.8% of sales in 2021 as compared to $13.3 million or 13% of sales in the prior-period. The reduced expense level is due to reduced travel, lower marketing costs, reduced performance compensation costs, and reduced provisions for expected credit losses. R&D costs for 2021 were $5.4 million or 6.7% of net sales, compared to $5.3 million or 5.2% of sales for 2020. R&D efforts include product and process improvements at the Circuits segment, and efforts to develop and qualified products for future aerospace programs. FTG is exposed to currency risk to transactions assets and liabilities in foreign currencies, primarily U.S. dollars. The average exchange rate experienced in 2021 was $1.25 as compared to $1.34 in 2020, which equates to a strengthening of the Canadian Dollar of 7%. We estimate that for each 1% of strengthening of the Canadian Dollar, FTG would experience a reduction in pre-tax earnings of $217,000. In 2021, the negative impact was approximately $1.5 million, which was largely offset by realized gains on forward foreign currency contracts of $1.25 million. In 2021, we have reduced our exposure to currency risk by reducing the amount of foreign currency cash balances on the balance sheet. Earnings before interest tax depreciation amortization, as EBITDA as calculated are described in the press release was $9.6 million for 2021 compared to $13.4 million for 2020. The EBITDA margin for 2021 is 12.2% as compared to 13.1% for the comparable period in 2020. EBITDA for Q4 2021 was $2.3 million or 11.1% of revenue. Arguably Q4 2021 was FTG's strongest quarter, as EBITDA excluding government subsidies was $1.9 million. For 2021, FTG reported earnings before income taxes of $2.6 million as compared to earnings before income taxes for 2020 of $4.6 million. Reduced profitability follows from lower sales of 22%, which was mitigated in part through increased government assistance of $6.5 million in 2021, as compared to $3.2 million in 2020. Government assistance in 2021 included a gain of $3 million on forgiveness, U.S. PPP loans, following achievement of the specified criteria. The 2021 income tax provision of $2.4 million or 93% of pretax earnings reflects that the corporation's Canadian operations were profitable, and that deferred tax assets on foreign operating losses were not recognized during the year. Our net cash position as of Q4 2021 is $17.9 million as compared to net cash of $12.6 million as of Q4 2020. Free cash flow defined as cash from operating and investing activities excluding acquisitions, less lease liability payments was $2.9 million for 2021 as compared to $11.1 million for 2020. As at the 2021 year-end, corporations primary sources of liquidity totaled $54 million consisting of cash accounts receivable, contract assets and inventory. During 2021, FTG extended the committed revolving credit facility with our existing bank to 2026. This facility includes $10 million in support of working capital requirements, and $10 million in support of CapEx investments. As of the 2021 year-end, outstanding term loans pursuant to this credit agreement amounted to $1.8 million, leaving over $18 million of credit availability. Working capital at November 30 2021 was $40 million, which is up $0.6 million from 2020. Accounts receivable days outstanding were 72 at the 2021 year-end compared to 62 last year. Inventory turns were 3.4 as compared to 3.8 in 2020, and accounts payable days outstanding were 86 at the 2021 year-end as compared to 74 in 2020. Investment in planned equipment for 2021 was $2.9 million, with over $1 million of that investment focused on operational improvements in the Circuits Chatsworth facilities. We entered Q1 2022 with a backlog of just under $40 million, which is an increase of 6.6% as compared with the start of 2021. We will continue our focus on cash management and the balance sheet cost control and operating efficiency. Our complete set of Q4 2021 filings are now available on sedar.com. With that, I will turn things back over to Brad.
Brad Bourne: Thanks, Jamie. For me, I thought our fourth quarter was our best operational quarter of the year. I say this because our government support reduced dramatically from previous quarters but our results did not drop off by the same amount. I do believe the government support to the aerospace industry at least in Canada has ended before it should, but we dealt with it through strong effort across the company. I would have liked to have seen a bit more of a ramp in the top-line in Q4, but this will come as our backlog continues to build. Almost all of our drop in sales from Q4 last year to Q4 this year was due to reduced simulator product sales. In our aerospace business, our Toronto facility has done a great job in managing costs down over the last 18 months then to support future efforts. They've made some good inroads in increasing activity in the defense market. They're involved in some exciting new programs in the defense market, including a new bezel for a U.S. military trainer aircraft starting production, and they want a second military bezel assembly from the same customer. Both our sites in North America were significantly impacted in Q4 due to a drop in simulator product sales when compared to Q4 2020. We are seeing a rebound for simulator product opportunities for 2022. And well, maybe not back to historic levels, it should be above what we saw in 2021. The Chatsworth facility was additionally impacted by pushes by suppliers for some military components. But they've continued to have a long list of new sales opportunity, almost all coming from the defense market. As we announced during the year, that side has had success in winning aftermarket defense work from the U.S. Defense Logistics Agency, and this is becoming an important element of their total sales. In our circuit segment, as noted previously, sales in Toronto were down compared to last year due to their reliance on the commercial aerospace market. But even at reduced revenues they've managed cost carefully and remain profitable. Their sales were up each quarters through the year and their bookings are even stronger indicating recovery is building in the commercial aerospace market. Circuits Fredericksburg started the year slowly, but have had improved bookings and backlog as the year progressed. Early in the year, the previous general manager at the previous worksite had resigned for family reasons, then transition to a new GM caught some disruption in operations. But their fourth quarter was  the best sales efforts continues to have a solid backlog, but struggled all year to ramp production to benefit from this demand. To assist in the needed ramp in production at Circuits, Chatsworth, we invested in some key new pieces of production equipment to insource some processes, which will save costs and improve cycle time. These investments include a VFL machine, an electrical tester and a laser drill. All the equipment was delivered and installed and operational by year-end. The benefits of these investments will increase going forward that they're fully integrated into our operations. Both our China sites are exclusively focused on the commercial aerospace market. But as noted from the Boeing market forecasts, Asia remains a key market for commercial aerospace activity, so we believe these sites will be valuable in the long-term. Our aerospace Tianjin facility had seen sales increase each quarter this year. As the commercial aerospace market recovers. Their fourth quarter sales were 66% above their first quarter sales. They are entering 2022 with a very strong backlog. And progress continues on the C919 aircraft development in China. And while we've not quite completed all our qualification and program activities. We have shipped our first production orders in the year. At our Circuits joint venture in China, the uncertainty regarding the new owners of our partner are settling down in a very positive way. We are seeing new wins and increase demand at that site for 2022. We continue to manage our balance sheet, our net cash on the balance sheet increased from $12.6 million at the end of 2020 $17.9 million at the end of 2021, an increase of $5.3 million. We are seeing a number of acquisition opportunities arise that could fit with either of our businesses, but we're currently seeing more on the circuit side. Given our increased confidence in our performance, the overall recovery in the commercial aerospace market and our very strong cash position we are evaluating these opportunities. Our criteria for any such transaction would remain what we've always said. They would need to meet a number of the following objectives. We aligned with our current market and product focus, expand our technology offering, expand our geographic coverage to Europe for commercial aerospace or defense market, accelerate FTG's penetration of the aftermarket segment, drive up plant utilization .
Operator: Excuse me, you're now connected.
Brad Bourne: Okay, apologize for that. Obviously, we've had a bit of a phone issue. I have completed my presentation. Hopefully if you heard everything I had to say. And we would now like to open the phones for any questions. Loraine, can we see if there's questions.
Operator:  Your first question comes from Nick Corcoran from Acumen Capital. Your line is open.
Nick Corcoran: Good morning.
Brad Bourne: Good morning.
Nick Corcoran: The first question for me has to do with the simulator where you mentioned that there should be an improvement in 2022, can you give any indication how those orders might follow through the year?
Brad Bourne: Yes, I guess all I can say right now is at this moment, we have not booked significant orders. But we are seeing and holding significant orders as we speak, including today. And I would expect within the next few months, we would see the order than they would be deliverable in the second half of 2022.
Nick Corcoran: Great, and then just thinking about the supply chain, has there been any impacts from the pandemic on delivery of parts? And has that had impact on your ability to supply customers?
Brad Bourne: Yes, in two ways. I guess first of all, I touched on it where I said in Aero Chatsworth, we had some delays in deliveries for military components. That was not really logistics issues. That was the buyers having their own production issues, again, I'd say primarily due to COVID impacting their operations. Beyond that, in our Circuits business, a lot of our raw materials do come from Asia. And so there is a risk of supply chain issues and logistics issues on that. But we're actively working with our suppliers and we've actually bought extra material beyond what our typical demands are to protect ourselves from any impact, and so far, we've been successful and mitigated our impact from supply -- any suppliers in our Circuits business. So, I guess the last one, we did there's still some ongoing simulator activity. I know, we've had some delays on components where our simulator projects that we're hoping to ship late last year, it's pushed into Q2 this year due to component delays, but not a significant amount, but there was a little bit of delays around that.
Nick Corcoran: Great. And then the last question for me, I know government subsidies have trailed off through the end of the year. Have you received any subsidies in the first quarter? Do you expect to receive that?
Jamie Crichton: The AMJP program in the U.S. will continue into the first quarter and a touch of the second quarter. If we don't contribute about $200,000 U.S.
Nick Corcoran: Great. That's all for me. Thanks for taking my questions.
Brad Bourne: Okay, thanks, Dan.
Operator: Your next question come from Austin Beutel from Oakwest Corporation. Your line is open.
Austin Beutel: Good morning, Brad.
Brad Bourne: Good morning, sir.
Austin Beutel: Good. A couple of questions. The first one is on the research. You mentioned that part of the research is done to -- for the improvement of current products and processes and the other partnership for brand new stuff. Could you give me a little more color on the proportions in each and how you feel the prospects are for coming up with some products that represent a complete brand new area for FTG?
Brad Bourne: All right, and I guess first of all, I would talk about -- like to talk about, and it's from our circuit Fredericksburg site, but we are working on an additive manufacturing process. So that's not new product. But it's a new way to make a circuit board. And just as we looked around the world, so many industries are looking at different additive technologies. It's more environmentally friendly, it actually ends up with improved product performance in this case. So we're actually, we're really excited about that one. But that is a long-term effort. It's changing everything to how you make a circuit board. So we need to work with our customers, we need to understand any reliability issues, any other implications from this -- that’s a multi-year effort. But it could dramatically change the way circuit boards are made over the next five to 10 years. So that is one where it's a new process, but it could dramatically change our business. The more closer to home in 2021, we won the new family of cockpit assemblies from one of our key customers that Tier 1 avionics company in the U.S. And they won't let us say their name, that family of products it requires us to develop the electronics that goes into the assembly. We need to go through a full approval, environmental approval. And after about a year that converts to about a $1.5 million a year of production revenue from those parks. And so we're hoping that will end up in production at some point in 2022. And then it becomes an ongoing annuity for us, as their demand flows through to us for those products. So that's definitely a newer term. Those are a couple of examples. And then to try to answer your question, how much of this is related to new products versus existing products. I'd say our goal is really to focus our R&D to either develop capabilities or to develop specific products to grow our revenue stream. There's a little bit of benefit in terms of improving our efficiencies, but really the benefit for FTG is to invest in technologies that drive the top-line and grow the company.
Austin Beutel: I would agree with that. And another area, you've been remarkably successful in maintaining margins. You made no reference to margins other than the fact that some of the margins were down as a result of lower business. Generally speaking, our margins holding up in both segments, both aerospace and defense?
Brad Bourne: Yes, I mean -- a couple of comments on that. First of all, in manufacturing, there's a certain fixed cost in our business. And so as you add revenue, margins expand almost automatically as you reduce business, the opposite happened. So our goal, again, for sure is to bribe the top-line to improve margins. And that's really just pride that plant utilization. And over the last few years, the -- I guess I would give the government credit for helping us. And the reason I say that is, as activity came down, if we had had no government support, we would have had to aggressively reduce our workforce to manage our costs and to stay viable. But because of the U.S. government had the Paycheck Protection Program, the Canadian government had the emergency wage subsidy, both of those programs were aimed at enabling companies to retain their skilled workforce. And we took advantage of them. And I think, I'm happy we took advantage of them. And I think it's really important for us, because it helped us on a short-term maintain the margins. But more importantly, it allowed us to keep our skilled and trained workforce so that we can recover and grow as the market picks up.
Austin Beutel:  Brad and what you're saying though is that the customer is not looking for lower prices?
Brad Bourne: That is true. And I guess that leads to the second topic, and we're definitely working through this and addressing this, we're seeing the world is seeing inflation pick up these days. And so we're not immune to that, but we are working where we can to manage our costs. And we're also working with our customers in some cases to adjust prices. But our goal is not to get squeezed due to inflation and to specifically answer your question, for sure we've not seen any customers try to push prices down right now.
Austin Beutel: Thank you very much.
Brad Bourne: Okay. Thank you.
Operator: Thank you.  Your next question comes from Ashvin Moorjani from Edward Jones. Your line is open.
Ashvin Moorjani: Thank you. Hi, Brad and Jamie, how are you both?
Brad Bourne: Good, good. How are you?
Jamie Crichton: Thank you.
Ashvin Moorjani: Good, good. Thank you. Just one question about future developments. Do you guys foresee any or do you guys see in the pipeline any interesting programs coming up either in the short-term and long-term and what do you guys believe your prospects are on winning those programs? That's it, thanks.
Brad Bourne: Right, it depends on what you mean by new programs. What I would say is, there's not a significant or there's not really much new aircraft development happening these days in terms of truly new platforms. Neither Airbus or Boeing have development program underway. And there's no significant military program, maybe with one exception, there is a new a new bomber being developed in the U.S., but so not huge number of new development programs. But we're seeing a number of opportunities at a subsystem level. And when I say that, in both of these markets, whether it's commercial aerospace or defense market, there is from time to time upgrades in systems on those aircraft. And that leads to opportunities at a system or subsystem level. And we're seeing those and we're definitely pursuing those. And just to give you a feel, we put together a list and our list of opportunities at this moment is six or seven pages long. So there's a lot of opportunities out there. I'm not going to say we're going to win them all. But the fact that there's so many opportunities actually gives me a good feeling that we have opportunities to grow our market share in the aerospace and defense market in the coming year or two. And I guess finally, just last comments on that, we've talked about it a long time that C919 aircraft development in China, we've now been involved for seven years on the development cycle of that plane, that plane is truly getting really close to final approval, and then it will go into production. And that represents a revenue growth opportunity for us. And we've been running maybe a million or so dollars a year on that program during the development cycle. If it gets to full rate production based on the forecasts from China, that represents about a $5 million program for us. So that's not going to happen, that full rate in 2022, but we're heading in that direction, as that plane gets certified and has entry into service.
Ashvin Moorjani: Thank you. And do you see that list of opportunities expanding in a more recent term or how do you look at that change this year, and perhaps over previous years?
Brad Bourne: It is just trying to think it through, I'd say it's expanding a little bit. We are seeing new opportunities. I guess the other thing which we have not talked about, but we did make a decision late last year that we're going to grow our sales team and so we have grown our sales team, we've added people and I believe there is a connection. If you have more feet on the ground and you're knocking on more doors, you're going to see more opportunities. And I think that is happening. I know that is happening for us right now.
Ashvin Moorjani: Thank you.
Brad Bourne: Thank you.
Operator: There's no further question this time, you may continue.
Brad Bourne: Okay, thank you. A replay of this call will be available until March 10, 2022 at the numbers noted on the press release. The replay will also be available on our website in a few days. Thank you all for your interest and participation. Thank you.
Operator: This concludes today's conference call. Thank you all for joining. You may now disconnect.